Operator: Good day and a very warm welcome to our Financial Year 2021 Annual Results Call. Thank you for joining today. I hope that you and your families are staying safe. I am joined today by Paul Victor, our Chief Financial Officer; and members of my Group Executives. Our results for the period ending 30 June 2021 were published on our website earlier this morning. For the purposes of this conference call, we will highlight the salient features only. Financial year 2021 is underpinned by a strong overall business and operational performance, despite the significant headwinds of a prolonged pandemic and destructive weather events in the U.S.  Against this backdrop, and given where we were a mere twelve months ago, our performance is quite phenomenal. We not only met our short-term targets, but indeed, exceeded many of it. Our balance sheet is deleveraged with notable early wins in our transformation programs Sasol 2.0. This lays a strong foundation to progress accretable pathway to future Sasol.  Next month, at our Capital Markets Day, we look forward to sharing our long-term strategy and our planning on how we will deliver on our triple bottom line outcomes for people, planets and profit. The safety, health and well-being of our employees is our highest priority.  I am pleased that our interventions resulted in improvements on several key safety indices, while we maintained robust COVID-19 protocols and practices in all our workplaces, which supported uninterrupted operations. We also support the view that accelerated efforts in vaccination remains the best way to slow the pandemic, save lives and drive a truly global economy recovery.  Our people focus extends across our communities and stakeholders as evidenced by the billions of rands we continue to invest in social impact programs. We have a full commitment to deliver on our sustainability ambitions and we are acting with urgency to chart a path forward to decarbonizes our business and we will share significantly improved climate change targets at our upcoming Capital Markets Day.  For financial year 2021, our business results both met and surpassed expectations. This was underpinned by a strong operational performance exceeding our balance sheet objectives with the needs for a right issue now completely taken off the table. We manage liquidity well above target and delivered value through our strategy-led asset divestment program. Our balance sheet is now substantially used compared to a year ago and with our Sasol 2.0 transformation program now ramping up we are on course to restore our investment grade metrics. This is a huge achievement.  To highlight some of our operational performances, our Secunda operation volumes were up 3% benefiting from innovative shut down planning, despite some operational challenges experienced during the year. Mozambique production was 2% higher. Mining productivity was down by 1% mainly due to the introduction of a full calendar operating shift system, which will significantly improve our productivity going forward.  The chemicals business achieved strong cash flows during the year. In our U.S. business normalized sales volumes were 2% higher after taking the adverse weather events into consideration. As a reminder, we now have the joint venture with LyondellBasell in place, for three of the seasoned LCCP units, namely the ethane cracker and the two low density polyethylene units that Sasol has full ownership and control of the U.S. specialty chemicals business and the legacy ethane cracker.  I am pleased to say that the JV unit is running at higher rates and our Ziegler, Alumina and Guerbet units are all operational and ramping up well. Mozambique remains core to Sasol as the country is central to our feedstock transformation strategy. The PSA project allows us to continue delivering on our commitments to Mozambique and to access additional gas supply to South Africa.  Key commercial agreements have been signed and the exploration and infill well drilling campaign resumed earlier this month. Our asset divestment program has been very successful. Since March 2020, we advanced divestments to the value of US$3.8 billion. And as we conclude this, the program will draw to a close. We now have a focused portfolio positioned to deliver competitive returns.  In closing, financial year 2021 was the positive shift we needed for all our stakeholders and we believe that we now have a strong foundation for future Sasol, which is underpinned by a deleveraged balance sheet and a new operating model that allows for greater agility, faster decision-making and enhanced customer centricity.  Our response plan has stabilized the business and now we will ramp up our Sasol 2.0 implemented transformation program, further delivering gross margin uplift of up to R1.5 billion, cash fixed cost savings up to R3 billion and maintenance CapEx of between 20 billion and $25 billion in financial year 2023.  Looking ahead, next month at our Capital Markets Day, you can expect to hear more on our resilient and focused strategy to deliver value. Our revised greenhouse gas emission reduction targets and more clarity on our delivery pathways. Customer centricity is a key theme for us and we are guided by our purpose innovating for a better world.  I again, thank our shareholders and other stakeholders for their patience and support during the past year. Moreover, to our global customer base that continued to trust Sasol as their supplier. We are truly grateful for the business we do now and into the future. I believe we are now on a sound footing to deliver competitive returns for our shareholders all of which will be better for the planet and for people.  I will now hand over to Paul to discuss our financial performance for the period in more detail. 
Paul Victor: Thank you, Fleetwood, and good day, ladies and gentlemen. Our 2021 financial results underpin a remarkable turnaround in our financial position despite the headwinds we faced. Our EBITDA increased by 38% year-on-year to R48.4 billion, with a massive improvement of 75% in our free cash flow. The rand to dollar price increased by 4% during this time which really speaks to the fundamental improvement to the underlying business performance during financial year 2021.  Earnings were impacted by the non-cash adjustments, most notably the remeasurement items which includes the impairment of the Synref refinery and the Wax value chain. In 2020, I spoke about our new deleveraged balance sheet and the steps we were taking to improve our position. This trend was clear and aimed to generate enough cash flows through self up measures and asset divestments to reduce immediately to our net debt to an acceptable level. We have delivered against this ambitious plan in spite.  Our net debt-to-EBITDA at the end of the reporting period was 1.5 times, well below our covenant of 3 times, reflecting a significant receipt of our balance sheet.  Our gearing has decreased from 117% in financial year 2020 to around 61% at 30 June, and the net EBITDA is at US$5.9 billion all without executing a rights issue.  Normalized cash fixed costs were 4.2% lower in real terms reflecting continued discipline in cost management for reporting period. We delivered on our US$6 billion response plan announced to the market in March 2020 and again significantly exceeded our US$1 billion savings target for financial year 2021.  Furthermore, our Sasol 2.0 transformation program is achieving early results, which will be ramped up to deliver sustainable improvements. We have completed our workforce transition process and our future cost base will include the benefits of this initiative and therefore have a positive impact on our cash fixed cost for financial year 2023.  Sasol 2.0 will ensure that the company's competitive, highly cash generative, and sustainably profitable even in a low oil price environment.  Our capital expenditure of R16 billion was a consequence of ongoing focus capital spend, while ensuring the safety of our people and maintaining the integrity of our assets. Despite the significant progress, there is still the risk of a prolonged period of economic uncertainty. On this basis, the Board has taken a decision to continue with the suspension of the dividend at this stage  This is a prudent step until the debt levels are reduced. More detail on our capital allocation framework will be shared at our upcoming Capital Markets Day in September 2021.  In summary, our energy business benefited from high export sales volumes at mining, higher exo gas sales in Southern Africa and a strong recovery in liquid fuels demand following the easing of lockdown restrictions in South Africa.  In chemicals, a combination of higher sales volumes in Africa and Eurasia and a higher average price across most markets resulted in a strong cash flow contribution from this business despite the weather events in the U.S. and SA and the divestments The higher prices were due to a combination of improved demand, stronger ore prices and tight supply resulting from the weather-related events in the U.S. and global supply chain challenges due to the continued COVID-19 pandemic.  The LCCP, which is now a 100% complete and ramping up to plan delivered a meaningful contribution to profitability and is expected to continue to be a key contributor to the business cash flows in future. In terms of the outlook, we will continue to prioritize deleveraging our balance sheet and debt levels in the coming financial year sustaining net debt levels to EBITDA of below 1.5 times and a net debt to below US$5 billion for the end financial year 2022.  We believe we are now very well positioned and have the flexibility to execute our future Sasol strategy in a ever changing macroeconomic environment and ultimately restore our investment grade credit metrics and our blue chip status.  Thank you. We can now open the call for questions, which will be facilitated by our Investor Relations Officer, Tiffany Sydow. Thank you very much. 
Tiffany Sydow: Good afternoon. All participants on this call. My name is Tiffany Sydow, and I'll be facilitating the Q&A session this afternoon. Thank you for the questions already submitted. We captured those, and we will continue to capture your questions as they come in. The questions will be closing to seen, then I will try to cover two to three questions at a time to make this far more efficient.  The first set of questions centered around the financial results, which we published earlier this morning. I’ll start up with first question, which is directed to Paul on the mining business. Our mining costs were guided for three - mining costs were guided for $340 to R360 per ton, R376 per ton was achieved. What’s caused you off guard? And can you expand on what sort of cost inflation you are seeing? And why you expect the cost to decline R370 per ton in financial year 2022? The question comes from Adrian Hammond.  Brad, if we can start with the F&O? 
Paul Victor : Good afternoon. Again, good to see your question. Yes, you are 100% right. But quarters off guard, I will say, is not so much quoting off guard that more the progress in terms of a full implementation of the Fulco system. We have rolled it up mostly according to plan, but the change management was really lagging our own internal expectations in a sense that effectively, we didn't see the productivity improvement as we originally envisaged.  Today, when we look back, the whole Fulco has been implemented on all of the mines. The change management progressing is quite well. And we do believe we now have the full support of the organized labor behind us to actually drive this quite hard in the new financial year.  The second issue that we also picked up during this past year is some deterioration of coal quality that was against our expectation. And again, as I've mentioned earlier today in the presentation, we are taking these two methods quite seriously.  From the results in July, we do see a month-on-month continuous improvement in the productivity rates for our mines and you can only get your cash fixed cost down you are successful in addressing your productivity and your run rate, kind of so to say, in mining. And if we are successful in achieving those, we do believe that that will be a very positive catalyst in exceeding our cash fixed cost lower to the values as we guided towards.  We do believe that the previous financial year from a cost perspective is a little bit sub-optimal from a mining cost per ton. And hence the contribution of Fulco, as well as Sasol 2.0 ramp up initiatives both will contribute to us delivering this cost guidance as provided. Hopefully it answers your question. 
Tiffany Sydow: And to you both, the next two questions, one around the assumptions underpinning our statements - open and one around capital spend.  You've increased your five year rand oil price assumptions for your payments, yet you impair fuels facility. The PP in the fuel segment is now only 1% of the Group value of PPE. Have you changed your longer term oil price assumption? And how does the payment reconcile with your goal to be cost competitive at oil prices being below 35 that comes from [Indiscernible] And the second question around capital spend, did you manage to bring your CapEx spend below guidance in financial year 2021? Did some CapEx slipped into 2022? Or should we expect CapEx to fall towards the lower end of the range? Thanks to the improved efficiency. That comes from Henri Patricot.
Paul Victor : Thank you Gerhard. Taking your - your question first. When we look in terms of the impairments, as you know, we look at the full deck of prices that we receive most notably on the oil side from IHS and Wood Mack and we effectively look at the prices right up to the end of the useful life of our facility. And on the rand dollar exchange rate, we do take a combination of the bank’s due, which only is a X amount of years up and in our own analysis of, we would see the rand playing out.  So, in terms of the oil price, the beginning years do have a higher oil price, but the end over the latter years beyond the five year period, based on those decks, which we have – need to consistently use to fulfill automated C requirements in terms of cost assumptions. Those significantly saw a decrease in longer term oil prices that on a NPV basis had a negative impact.  However, by far, the most significant impact was the view on rand dollar exchange rates. I guess, from your perspective, sometimes it is hard to understand how a dropping rand dollar exchange rate can cause such a significant impact. And in this instance, unfortunately debt and the rand was strengthened to a range of between R14 and R15.  And on average, probably, we applied a R14 R15 rand dollar exchange rate the real rate through the cycle, which was a significant strengthening of the rand compared to the previous period in how we assess the NPVs. The combination of these two factors ultimately resulted in us booking the implement and you might argue, I think I did saw some of your commentary that indicated that we are very conservative. Maybe in our approach in terms of booking in payments. I always caution and say, where we booked impairment, you must always look back and see how much of those impairments were really reversed.  So, we are realistically conservative when we look at the long-term assumption, but we're not overly conservative in terms of our long-term assumptions, and we do believe that between our own assessment and the assessment of the auditors that was performed individually and also about the strength of the plastics that we've used that this impairment was just.  In terms of your second point, in terms of the cost breakeven, yes, we do have the objective and ambition to maintain our cost competitiveness at that $30 to $35 to the barrel, but we also have to take into account further assessments being beyond this period to ensure that we meet our future sustainability objectives. Although those values are not kind of significantly out of quilter, they do weigh on the kind of value used or net present value of the asset currently.  So we still have all the objectives to finish or to kind of ensure that cost breakeven is in with these levels. But again, as I've mentioned that there are some other factors at play and we will see more of our objectives for the future with you at the Capital Markets Day, such as sustenance capital, but also such as the impact of carbon tax on our profitability going forward.  And in terms of Henri’s question, Henri, yes, so, every year has its mixed bag of projects that's deferred or you don't spend all the money and as it’s here in terms of what you plan which we refer to as the capital uptake factor. I think to be quite simple about this, year-on-year, the number is lower because this year, we didn't had a shutdown. And we also delayed the shutdown in the U.S. on the East cracker.  The combination of those things ultimately, if you normalize for those will kind of bring us back in line with the guidance that we previously provided. There is kind of a flow over of some capital, but we've seen that happening every year and it's at the rate that's no different than any other seen before. Hopefully, it answer your question, Henri.
Tiffany Sydow: Thank you, Paul. The next theme of questions is around operational performance. And Fleetwood, if I could ask you to answer these please? The first question comes from Chris Nicholson at R&B. Steve could you explain how the drilling campaign leads to lower gas volumes from Mozambique? What is the key driver behind increasing the long-term gas price assumption?  And the second question around mining. When you bought the new mines? A lot was said about the potential positive impact on cost. That has never materialized and productivity and production had been issues for a number of years now meaningful portion of Sasol 2.0 depends on improved mining. How confident are you that you can actually achieve that? The second question comes from [Indiscernible]. 
Fleetwood Grobler : Thank you, so much. Chris. Let me start with you in terms of the drilling campaign. So, in terms of our PPA gas fuel team Mozambique, we have planned and we have started to execute exploration and infill well drilling campaign already in FY 2019-2020. We commissioned the drilling rig and we had to postpone when we had to idle it through the COVID pandemic in Mozambique, because most of our drill operators was outside the country.  And it was not good to keep them during the COVID pandemic with in this country. We have now remobilized that and that will help us to get the flow of the infill drilling in the PPA field to open up more lines to our processing facility, that means, it means restore all the gas as we think the fuel can deliver and has been delivering would be restored.  And so, we've taken into account on our modeling base that there would be an impact as we indicated in the outlook of that volume of gas. Now, as we sit here today, the drilling campaign has restated and we believe that we would quickly get back into the program and that's normalizing the output from the gas field.  So, that's the main driver for from that blip. It was actually caused by the delay in the drilling campaign when we posted due to COVID reasons and now it is restored. So when we look at the mines to the question that Gerhard is asking, the comment was, the mines has not had a positive impact on costs. And so, when we when we look at the Fulco system, which is a full calendar operating system, 24/7, it means that we will be able to increase productivity.  Now what has taken us longer, we started to implement it at the first line in January, February of this year, as we speak now, all five collieries has been converted to a Fulco mining shift system. This is not a small task, because you have to change all the logistics. You need to get the change management going. You need to really reinject the way that you operate your mine on 24/7basis, instead of just the week and weekend product over time for productivity improvement over weekends.  So, this has taken us longer. We had to pre-invest in terms of additional labor to help us implementing the Fulco system and we believe when I look at the periods of very good results that we've already seen as a result of the Fulco implementation, we need to now go get those output ratable at that high level. That will then flow through to our 1,200 to 1,300 tonnes per continuous mine at the shift which we are now targeting.  And I think that is also just - while we're on the topic of mining we muted the impact of coal quality. Now, coal quality is an issue that we have to deal with. We have specifically in two of the five collieries, we have experienced some coal quality issues. And of course, there are ways to mitigate it and the teams are really working very hard as we speak on those.  And that is to reposition some of those sections into areas where we know the quality of coal would be better and maybe even to look at other sources where coal quality can be derived from - in a better quality volume. And so, those would take a couple of months to redirect. But it's not that we out of being able to mitigate that only next or the year thereafter, but it will take a bit of time and we are dealing with that quality issue at the two collieries that I mentioned. 
Tiffany Sydow: Thank you, Fleetwood. We've got a question on the asset divestment and where we are with that. The two questions are on Canada. I’ll read them altogether, and they are both from Herbert Kharivhe at Investec. What is the impact of the Canadian asset disposal on the gas division OpEx and CapEx? And secondly, what price was realized for the Canadian assets? Paul, I can ask you to answer that one please? 
Paul Victor : I know, it’s a easier one, first, I think, we all, maybe, if I say all, but definitely from our side quite delighted with the divestment of this asset which really brings this whole saga to an end. In terms of the kind of the sales price, it was round about just over $50 million that we received effectively for our portion on the Montney.  But I do think that if you look in terms of that asset divestment and so or for some others such as the West African investments, basically quite a lot of contingencies, guarantees, albeit performance guarantees and onerous requirements that effectively also remove from your company or from the corporate, which I think shouldn't be underestimated in this regard.  In terms of your second question, I am not going to ask or provide any specific details on OpEx. But it’s safe to say that when we provide to items on CapEx, the 20 billion to 25 billion band, we've already modeled in there that we are not going to have any exposure on Canada due to the purpose that you've seen last year on those assets in terms of the divestment process, that means no capital or operation expenditure for operating that environment have been taken into account in our forecast, outlook or our capital guidance for that matter. 
Tiffany Sydow: Thank you, Paul. A question around the response plan and Sasol 2.0 transformation program. Within the $2.1 billion of financial year 2021realized savings, what elements of the working capital and EBITDA benefits should we think of as being one source and therefore reversing in FY 2022 from right next year? 
Fleetwood Grobler : Thank you. Thank you. I think there are three elements there to make up the US$2.1 billion. So with respect to the working capital, that was a tranche of about $200 million that was once. Of that – the low with the water line be that we realized. So, I think that would be, going forward, we would look at it against our target of 14%. So deviations would being go up or down from that level. And the risk was basically gross margin and cash fixed costs that comprise the US$2.1 billion. 
Tiffany Sydow: Thank you, Fleetwood. Moving back to some questions on the balance sheet performance that are coming through. I am going to ask two of few questions to Paul in this section. The first one around achieving investment grade credit rating again and how does this influence our ability to pay a dividend if spot prices persist, how soon could we reinstate dividends from Adrian Hammond at SBG. And then another question perhaps in the same category as current spot prices therefore could buy back its entire market cap in about five to six years given the current CapEx outlook, instead of reinstating the dividends in the near future with the Board of Sasol consider share buybacks given the stock is trading below net asset value from breakeven back to the category?
Paul Victor : Good afternoon. I do again, and Becky, let me do all the questions separately, because I think they are differently - too different to answers between the two. So let's just talk about the investment grade, because I’ve - even myself some media feed on that kind of creates impression that we at Sasol are pursuing investment grade at all cost.  We exit that when S&P or other company determine our investment grade is basically two key factors. So one being your own metrics such as you are gearing your negative EBITDA and your free cash flow to-date, and those measures are quite important that we are kind of quite flexible, quite cash generative and very long that kind of at levels which makes sense. But then it’s the other two factors that is very country-specific and industry-specific, which Sasol can really do nothing about unless it moves its assets or it kind of its exposure to its assets or kind of operate in different jurisdictions or in different industries.  So, our take is that, we will always pursue making sure that from a good governance, robustness, kind of balance sheet health and just health of the organization that we tweak our assets safely and sustainably and that realizes investment grade metrics that's applicable to the company that we will do, because I think that's quite important and our peer group is pursuing that per per se.  But when it comes to industry-wise, as well as country-wise words, there is only so much that we can do and which we cannot pursue investment grade in those instances at all cost. So we may line up in a situation with our own control measures or criteria indicate investment grade, but by virtue of our exposure to the industry in the country, we may not been investment grade, and then, so be it.  It's - we really cannot initially change the fundamentals of those. So, I just really just make sure that this is the way that you look at managing investment grade going forward. Hopefully, all will combine in harmony and we will be able to get to investment grade where all of these factors align and that's hopefully we will eventually end one day.  So, in paying a dividend, the investment grade in its overall achievement is not necessarily the criteria for you to pay or not pay a dividend. I will say that, in terms of the capital allocation framework, which will present to you at the Capital Markets Day, we had to take our new - the changing environment, the industry into account, our balance sheet position, our actual debt levels into account and really kind of recommend to the Board a set of figures that will provide quite clarity to the market to say, when Sasol starts to hit these triggers, a dividend will be considered by the Board for approval.  And those figures will be communicated to you at the Capital Markets Day. But I think we've done, kind of, a lot of good work to kind of get our balance debt levels down. It's not there yet, and we need to able to give you a sense of what will be those trigger levels where a dividend will come into play. And if we can afford to pay a dividend on a sustainable basis, the balance sheet allows it, so we must.  The second point is, where do you make the trade-off between a dividend or buying back shares. And I think that is really a very good question. Again, you will see in terms of our capital allocation framework where we do differentiate in our allocation of capital of paying a minimum dividend. And where we need to trade-off to say if we want to step up the dividend or buyback shares, one of those differentiating factors and considerations that we will take into account.  So, Becky, I do believe that once we get to the Capital Markets Day, there is a framework to specifically also this specific question. Thank you both. I think at the of the day there, the intention of the capital framework work is to distribute value on a sustainable basis to shareholders, and we must look at all levers possible to kind achieve that objective. Thanks. 
Tiffany Sydow: Two more questions Paul, around dividend. And I'll combine them. The first one from Henri at UBS. Do we have to see both net debt below $5 billion and gearing less than $45 billion for dividend payments to restart as quickly as possibly it has been in the first half of 2022. Second question from [Indiscernible] At project direction peer companies are declaring dividends, why it’s been I think for long suffering share holders? 
Paul Victor : Thank you much. Two very good questions. So, maybe I think I can go for the first one, Henri. No, the question is, in a way that we think about it, you don't have to kind meet your gearing and your net debt requirements. I think net debt for us is a very important metric, because you can have a negative EBITDA today of 1.5 times and if oil process goes down to $30 and your actual debt level is high.  It may expose you so from a covenant level. So, ultimately, covenants for us is important in this. But actually debt levels are equally important for us in all of this and the gearing is negatively impacted by the fact of - that the asset impairments as Gerhard indicated earlier. And I think we need to kind of - really have to a open mind in terms of the cash flows that you generate in the business that will ultimately pay for the dividend and whether that can be sustained within a kind of a bank covenant level, as well as absolute debt level.  So, I think that's what our thinking is all about. So let us think or I will come back specifically on this point, but I don't think gearing is going to be the decider. Of course, the Board will need to look at all the factors before a declaring a dividend, but I think the triggers are more specific in terms of kind of around cash flow, debt levels and what levels want to kind of take - kind of a decision on the dividend.  The second point I think kind of just nicely is flowing into this. Yes, we do know that some of our valued longer term investors haven't taken a dividend. But again, I think it's quite important that the first step is to delever the balance sheet to kind of get it off risk. We are still sitting at net debt levels are off and onboard. We do believe that the balance sheet can still be vulnerable at those debt levels and hence we have to get it down.  And hopefully, our shareholders don't need to wait too long for the dividend, because I do believe it's a good catalyst to incentivize our shareholders through the cycle. But let’s share the details with you and at current runrates things do look promising over the next 12 to 18 months. 
Tiffany Sydow: Thank you Paul. And moving over to our business outlook and how we expect things to pan out in financial year 2022, there is two questions around the similar theme. Do you expect fuels volumes to be about 2% lower year-on-year, your coal production it likely to rise? If this all due to gas? Or can less gas not be offset with more coal feed instead that comes from Adrian Hammond. And the second question around the similar theme is, you flagged feedstock issues as a hindrance in financial year 2022. Is the poor coal quality oneself or a longer term concern? That question comes from [Indiscernible]. 
Fleetwood Grobler : Thank you so much, Adrian. I'll start again. I think I've started to address the coal issue in the first couple of questions I’ve answered them. So, yes, the volumes would be impacted by the quantity of synthesis gas. Now, you have to think about synthesis gas either coming via coal and gasification into our facility or via some regas.  So the two drivers for gas, we've touched on the reasons for the natural gas and what is driving that and that we've started to commence our in infill oil drilling campaign to normalize that every time. But on the coal side, yes, I think it's a valid question also what - why it’s mostly to say, but if you improve your productivity and you can get more coal out will that not offset this reduction that you ascribe to coal quality.  And the answer to that is not necessarily and that's why we've taken a very prudent, maybe a conservative approach to say, if we don't feel that we've addressed the cold quality issue that means that that the amount of synthesis gas that we can get out of that ton of coal, which is deteriorated in these two collieries that I've mentioned.  If we can't address that properly, we do run at risk for the same volume of coal to get this availability of synthesis gas out of the system, because that only - not only impacts the availability of gas, but the quality of coal with higher ash quantities and the type of lower quality coal that has not got to same hydrocarbon content does impact then these levels and therefore we flagged it and we focus on that.  The question is, this is a once all or a longer term thing, as we have gone through our coal reserves in Secunda, we sometimes run into areas with the coal quality as poorer, sometimes it's better, but we've got the lever to relook at where to put in new sections and that's staying away from the lower quality coal ones.  And I think we will have to live with this and navigate that as we go into the future as well. So, I can't say this as a once all. It is part of the coal reservoir that we need to always optimally mine for the base quality coal. 
Tiffany Sydow: Thank you, Fleetwood. Another question has come in around the guidance commodity chemical prices. Commodity chemical prices reach better than higher than Q4 2021. In 2022, we expect chemical commodity prices to moderate as supply normalizes and the market rebalances. Could you please provide more color? What do you think could be a correction from Dmitry Ivanov with Jefferies. 
Fleetwood Grobler : Okay. Thank you so much, Dmitry. So, and I'm going to ask Brad also to weigh in here, but in essence, how - whilst we had a very strong period in earlier this year due to the just system constrained on supply in the U.S. the Arctic storm – let me give you an example of what transpired out of the Arctic storm we had a very, very fortunate position that our cracker, the big cracker was running and we could run just soon after the Arctic storm. It was actually never shutdown during that period.  At that period, commercial ethylene or traded ethylene, spot ethylene rather ,merchant ethylene as it’s also called, was in very short demand and prices spike up to about $0.60 per pound after the Arctic storm, when things normalized and cracker came back after the impact of the storm, prices are receding and we seen our prices on merchant ethylene around $0.30, $0.35 to the pound.  So that's what we believe would be more that be the prevalent pricing going forward. But let me ask Brad also to weigh in on this question and come in Brad, please. 
Brad Griffith : Yes. Thanks, Fleetwood and things. Sorry, I didn’t seem to - Think you'll need moving [Indiscernible] involves while I'm speaking. Sorry. Thank you. Yes, I think, Fleetwood, you described it well. I think what we are seeing is that, with the oil prices staying in this $65 to $70 range, we're expecting prices to be more in what we saw prior to the buildup in Q4, but so nothing of a significant reduction. 
Fleetwood Grobler : So, you all expect what is the impact of lower volumes in Chemicals, Africa, now there are two things driving that session. The one is that we have to shut down and we've indicated the some fuels volumes between $74, $75 of course, if chemicals are integrated in that, so they’ve also reduction in volumes around that. And then that feedstock availability is also playing through to our Sasol operations where the output there would also be slightly a bit lower. So that's basically the reason for the lower chemicals Africa, lower volume output. 
Tiffany Sydow: Thank you, Fleetwood. And the next set of questions around financial performance and I'll read out all three coming from different people. EBITDA in 2021was around $300 million to $350 million from the segment, I assume that can go later. How much of this was from peak? Can you talk about your chemicals political and EBITDA outlook for financial year 2022 and how should we think looking at our EBITDA contributions in the overall segment that comes from Sashank Lanka. What was the carbon tax you paid this year from Alex Comer.  And the last question in this category is notice the lack of leverage to higher prices in fuels business relative to chemicals in hub two companies to hob one. Can you expand on why cash cost in the gas and fuel business increased so clearly is in order to complete your hot spot that comes through Adrian Hammond. 
Paul Victor: All very good questions. Hello, Sashank. So, ultimately the EBITDA of the in North American Chemicals business was, as Brad indicated, quite positively impacted by the contribution of expected chemical prices. It was really a positive kind of alignment of our prices that was kind of unprecedented due to the factors that we’ve seen.  So, the question is [Technical Difficulty]. I would say that the quarter four runrate that you've seen on average the $75 million to $80 million of EBITDA per month was probably expected it will still not being expected to continue for the remainder of this financial year, and there will definitely be some softness in that price sitting in as we say prices, but also kind of we see chemical prices going down. So, there is some form of margin contractment.  We just say in the past that we are not going to reflect this separately in terms of the LCCP’s results -- in terms of the North American results. So, basically, just broadly, I think year-on-year, we have to take into account as we indicated in our outlook that our East cracker will be down for more than 50 days, or it's one and eight - so that in itself will have the impact on the profitability over the year.  But needless to say that, we will anticipate that runrates on a monthly basis will still be quite healthy for the North American business. I think in our outlook in terms of polyethylene, $1,000 to $1,100 per ton for Northeast Asia, around the BC 4 kind of pricing so that really kind of sets the base. And then we also anticipate that on the specialty side, the ramp up will occur further during the year to more decent volumes and margin contribution of the specialty business.  But we don't per se provide you a -- kind of a month-on-month or annualize kind of EBITDA for North America, but we do anticipate year-on-year that kind of with the plants running up, with the specialty care chemicals coming into account normalizing for the shutdown, in fact, we expect a very decent performance by that asset for financial year 2022.  In terms of carbon taxes, I just want to make it sure that was round about R800 million if I'm not mistaken, R800 million, just want to check that one. Alex. Tomorrow, we can give you that - very specific number on that one. And then, in terms of the lack of leverage and the higher prices, between fuels and the chemicals business, first half second half and also why the cash cost in the gas and fuel business increased so materially in the second half versus the first half. And basically these, we did see a very good run rate in terms of our cash cost performance towards, say in December.  If you look at total cost, you must take into account that in center for the full year that ultimately had a higher impact on your cost, first half versus second half that I will say. We also had some more instabilities during the second half and coal quality issues that ultimately resulted in higher maintenance, half-on-half.  But I will say that those are probably the two major reasons for us for the cost being higher on the one half versus the second half. If I look at the forecast for financial year 2022, we do expect a very robust cost performance for both sectors in financial year 2022 versus 2021 so the continuation of Sasol 2.0 and on a normalized basis, we do expect the cost to follow and even big inflation for the forthcoming financial year. So there shouldn't be anything said in terms of that. 
Tiffany Sydow: Thank you for moving up into our strategy and some questions around our sustainability targets. You mentioned that in terms of positioning in your FT technology a sustainable solution in the production of fuels and chemicals, can you expand on this? And does your CapEx guidance factor in any ESG-related CapEx including hydrogen, SO2 abatement and clean fuel. Can you update us on the expectations around phase of the draft carbon tax legislation. That all comes from Adrian.  And then, I think the second question on a similar topic is, can we expect the revision in your GHG emission reduction targets –of 2030 as well versus what you have earlier provided to us from Sashank Lanka at BofA.. 
Fleetwood Grobler : Okay. Thank you very much. I think we will start with Adrian’s question, the part on the draft carbon tax legislation we’ll deal with more details tomorrow when we engage. So, the positioning of our FT technology really is in terms of its ability like we've positioned our gas to liquids technology to monetize expanded gas into fuels at the time.  So, we are able to position a optimized Fischer Tropsch gas technology offering that is using green hydrogen and a green or I would say, carbon sources that is classified as unavoidable to produce sustainable aviation fuels and chemicals. So that is what we focus on and we will give more granular detail at our Capital Markets Day. But Fischer Tropsch are really well positioned to play into the space of sustainable aviation fuels. And this is the area that we would be focusing on.  Similarly, our existing assets can also take a percentage of biomass, which is renewable biomass in that sense, as well as if we introduce that with green hydrogen can bring on a attribution model principle to a portion of the state being on sustainable green aviation fuel. So that's what we mean with at that part. And as I said much more color, we would give as part of our strategy at Capital Markets Day.  Now, if you ask the question, does your CapEx guidance factor in any ESG-related CapEx including hydrogen? So we have indicated that our suspense capital up 2025 does include the aspects of replacing all the PSA, which is feedstock renewal. It does include our eight quality projects that we have been working at that we have to complete by 2025.  On the SO2 abatement side, that is a area we've only got the specification here. We are working up technical solutions to address that and we also hope that we will conclude that by the end of this calendar year to be able to give quite a clear delineation of what that capital will entail and what are the type of projects that we will have to implement to be able to see all the parts of that.  Now, your last question on the key fuels was to get clear strategy on, is that part of the capital guidance? Yes, clean fuels are part and parcel of that $20 billion to $25 billion that we see up to 2025. And so, that is included in that guidance. Much more detail we will also provide at our Capital Markets Day indexing. So, can we expect a revision, Sashank, to our ambition? Yes, I have indicated now that we will have a significant increase of our greenhouse gas reduction ambitions by 2030 and that we will communicate in the - at the Capital Markets Day, as well as we would indicate the pathways we will take or we have options with to our 2050 ambition and both of which we will give color at our Capital Markets Day. 
Tiffany Sydow: Thank you, Fleetwood. One more question, from Gerhard. Could you be more specific about your FSG emission deductions now? What are the solutions? How will they be implemented? And how much will it cost? Can you comply with the regulator limits, if you cannot replace the boiler emissions? 
Fleetwood Grobler : Thank you, Gerhard. This is the point I’ve just touched on. So, we have a couple of options that we are currently exploring. And remember, we are engaging with government with the department of environment, fisheries, and forestry to really also take them along into options. We have, coal beneficiation is a typical solution to address SO2 matters.  As you know that if you take all the rocks and stones out of your coal, you would reduce the SO2 coming out of the process. So, that is one option we're looking at. But we're also looking at other options that that could almost address two issues SO2 and greenhouse gas.  And as I say, we are not yet ready to publicly make those outcomes visible, because we are working those solutions and we're also working with the department to come up with the understanding and support of how we would like to tackle that. So much more detail will be shared when we are ready to do that, Gerhard. 
Tiffany Sydow: Thank you, Fleetwood. Two questions around the life expectancy for Secunda. So do you still have 2050 life expectancy to Secunda and if so how much coal feedstock do you assume you'll be using in 2050 from Alex Comer. And then, I think another question to conclude this section, is there a likelihood that you will unbundle energy unit. And how do you think these as how do you think of this process reducing your ESG from [Indiscernible] at Sasol. 
Paul Victor : Two great questions. So, currently, we have said in the past that we've got coal with us that will last us into the 2040s. And hence, that keep your guide raise to 2050 useful life expectancy. There is a lot of work that we are doing currently to see ultimately how the coal profile will effectively play out in the next 15 to 20 years, but ultimately also what will replace it.  So, at this point in time, Alex, there is really no reason for us to change the useful life because we do believe that ultimately, as you reach the tail end of your coal reserve, the volumes will in fact reduce in terms of its input into your business and hence be replaced by the green feedstock that we potentially prefer to introduce.  I think there may also be a quite phase to make once we kind of get there to exclude the useful life of Secunda if you do find feedstock and reason to operate beyond that period. But for now, based on the facts to our disposal, there is really no reason for us to change the useful life and we'll make informed decision once all the facts on the table in terms of and which I perform, we want to continue into 2050 and even beyond.  And by that, I'm not saying also exceed beyond 2050. I just think that 2050 is still a very reasonable life expectance given the moving parts that we are dealing with and we need to very carefully consider a change to that either shorter or longer.  In terms of the unbundling of the energy business, I think others have done it in South Africa to unbundle. And I think you really have to understand what's your reason for doing so and how does it play into your business model? I do - in terms of our work on the gas and coal landscape, I think it will be premature to kind of take any position in terms of any unbundling and what value that may offer?  I am not saying that it will not be considered, but I just think it's very, very premature. We have seen in the past that we will consider the different components of our coal business and what that contributes into overall integrated value chain. And I think for the next couple of years, coal will still be part of our feature.  We will not basically change our intake of coal and we know that at what cost that coal comes, means kind of all of a sudden restructuring that, you really have to kind of be quite sensible about it. Of course, these other parts of the coal business that one can potentially restructure in other ways or forms, we have considered in the past. It doesn't prove to have any significant value at that point in time. It doesn't mean that we will not continuously evaluate that.  But at this point in time, we do believe that the current CTL integrated value chain into our energy business, that's still the best positioning of that asset from a cost perspective, efficiency perspective and a management of the asset and from a risk perspective as we progress going forward, continuously we will evaluate that asset portfolio to see what is a best fit and what fits shareholders best. 
Tiffany Sydow: Thank you, Paul. A question around the JV with LyondellBasell. Were all KPIs met with the JV with LyondellBasell and is this fairly considered as what advantageous to Sasol and therefore its shareholders from Grant McGillan at Project Direction. And that the second question for Fleetwood as well around the 2.0 program. Have you concluded your headcount reduction program? And are there more redundancies after the 550 indicated in financial year 2022 from [Indiscernible]? 
Fleetwood Grobler : Thank you. Thank you. Maybe start with Grant’s question. So, when we motivated and concluded the joint venture with LyondellBasell we have of course look at many offers that we received in at that time, also the ability of LyondellBasell to be a prudent operator, prudent and a well-established marketer of polyethylene.  All of that weigh in into our decision at the time. And the six months passed, I believe that all of those expectations that we had with LyondellBasell as a operator and marketer of the project - of the products have been met and we are very happy with our joint venture partner LyondellBasell.  Looking at the question that Gerhard asked, as you can imagine, Gerhard, we are concluding the program through the final structures and all the benefits will basically start realizing in FY 2022. So in terms of the steady state numbers, and I don't want to talk on any specific number at this point in time. But suffice to say, that our steady state numbers will conclude through the period in FY 2022.  And that is also part and parcel of our cash fixed cost saving that we would now for FY, the R3 billion rand that show there. A big part of that is our workforce transition benefits that will be concluded in this year. But the full benefit of that will only ramp up in FY 2023 when most of that will then manifest for the full run year in our in our books. So, yes, there is there is more to come, and it will settle in FY 2022. 
Tiffany Sydow: Thank you, Fleetwood. Another set of questions on balance sheet. Our performance, it's very clear that the company expects a huge emphasis on deleveraging its balance sheet by reducing its cost of funding. Given the right set of realistically low should we expect the company to refinance to raise fund which matures next year that comes from Michael or when they get filed?  And it would bottom at great intelligence. And then I think another question for Paul would be, does the company have any plans for ESG instruments such as green bonds, from Edward John Bottom at rate intelligence in? 
Paul Victor : Michael, we can deal with your questions first. Yes. I it wasn't easy to engage and ensure that we continue with our bond issuance at the rates that you've obtained. And I think a lot of those rates even being sub-investment grades had been kind of quite favorably kind of achieved and supported by the market on the back of a progress that we've made with Sasol 2.0 and the crisis response plan.  So the capital market from a grade perspective was quite positive. In terms of that progress and we kind of saw that coming through in the margins in terms of the rates that we effectively paid. So for our from our perspective is to say that, now, your question is, do we a recycle the bonds. And there is really no reason to do it at this point it's time.  The bond that comes up next year carries a rate of round about 4.5%. We do believe that that is a good rate still in our mix of instruments. We don't want to trigger kind of any action to kind of to debate that off quicker, because we know that there is so some further debt that needs to be refinanced in time. And the moment more that you are going to take action in the debt markets, that's not expected by the market. I think you are paying more so later on in the process.  So we got a honor – going to let that bond run out. We have full intention to settle that bond through our cash resources and cash flows. So we will not do the bond issuance precisely you kind of buy all that date.  I think the debt maturity that to you Tom, that deals with the reminder also is in the bank term facility. There we probably need to consider further debt market at a later stage, as well as potentially reengaging with our bank partners to see how we can reshape ARTF or ARTF see is going forward, but that's really kind of future music. So, at this point in time, we are not going to early settle.  We don't believe that there is any value in doing so and we rather want to be a consistent issuer of paper as expected by the market, because we've seen really in the past that that kind of plays into our favor. I do believe in terms of the interest rate cycle in the U.S., it will probably take some time for that to start meaningfully picking up, which still gives us more enough time to consider our options when we go the debt capital markets in future.  In terms the second question, Edward , it’s absolutely, we need to consider kind of the different instruments that deal with ESG. But let me be quite clear and last week, we actually had a very good discussion at the Board on this. There is no other than donations and grants there is really now magical kind of green funding that will ultimately magically reduce our average cost of capital because the borrowing rights also low.  I just think that the shift fundamentally in a market is in the debt markets are one-off ensuring that when a bond issuance takes place, that green criteria in terms of the business carbon footprint is very clearly specified in terms of KPIs criteria that the company commits to. We were failing in which, I think companies will find it very difficult just to raise the old vanilla advance in terms of kind of managing the capital structures going forward.  So, from a sample perspective, our first priority is, as and when we go to the market and issue new paper even on the vanilla basis, the ESG unwritten of those will be significantly amplified and our commitments needs to be quite clear in support of a sufficient uptake at the right margins for our paper going forward. It doesn't take a way that we will consider all the various suites of options in the form potential grants, donations that we might be kind of be able to receive. And that of course, kind of makes a big difference cost of capital. But I think the access to that is very limited by our own assessment. It doesn't say the they are not there. The largest component will be stored to kind of the old formal vanilla bonds, but just with a very strong association with ESG measures. We also will consider asset-based finance. Of course, those can have specific ESG requirements associated with it.  Usually, there are some incentives, but there are also penalties if you don't kind of achieve those KPIs associated with the asset-based finance. And we are very much open to consider those as well. So, I think they are both, going forward on this and what rates eventually to achieve will be depending on the instrument, as well as kind of the KPIs that you will be committed to and also what you will be financing. Whether you will be financing the corporate or whether you will be doing some asset-based financing at asset level. But more of a future music. But we are very open to the alter the possible in business terms. 
Tiffany Sydow: Thank you Paul. I think you conclude the balance sheet line of questions with one last question remaining on this. You guys have been pretty high capability on asset sales, cash coming in and business cash flows for this year. Are you concerned that absolute debt levels will be an issue from this point forward and that comes from Matthew. 
Paul Victor : Matthew, I think you fundamentally ask a such a good question, because when we issued the cash response plan – or the crisis response plan, we did say that this is going to be an initiative where we go in. We try to kind of save the cash, but we know it's going to be a mixture of probably mostly non-sustainable measures as opposed to sustainable measures.  And as we're kind of addressing that kind of immediate cash flow need and liquidity for the company, the Sasol 2.0 operating model and initiative was or program was driven quite hard. So where we find ourselves now is as the kind of the sun is setting for us on the crisis response plan, Sasol 2.0 from a reorganization perspective has already taken place. It's embedded and we know that there is a run rate kind of very much giving us the benefit already from July onwards.  So that smooth transition has already been achieved and the only thing that it does is, it ensures a certain amount of cash flow for us to ultimately service the debt. But the other side of it is to say the hedging. That's why when we did our budget, we did see that our absolute debt levels may be around $6 billion and in a low operating environment, still keep us vulnerable as a company.  That's why we made the decision to hit financial 2022 at those levels as we communicated to you to ensure that if all prices do go below $60 that - on that put option structure that we covered and as well as forward selling certain of our product. The mix of those two instruments give us a very high probability of the amount of cash flows coming onto the balance sheet and effectively further paying down the debt.  So we've got no reason to believe if we are kind of consistently delivering their controllable factors such as volumes, cost, working capital and capital in our business that sufficient cash flows will be generated now at these hedged out levels that effectively we can still further pay down our debt to levels that we are comfortable with. And hopefully to make sure both of those factors will play well into our favor.  I think it's something that the market maybe then fully understand and appreciate. But I think our financially 2022 from a kind of predicting the bottom line and prevent any negative impact has really going off been very much I’ve got it. Thanks. 
Tiffany Sydow: Thank you, Paul. And I think two more questions from Herbert Kharivhe at Investec. Are you affected by the high logistical cost for the chemicals you export from South Africa? And then I think one for Paul, hurricane season is here and maybe please remind us of the insurance structures for the American business. Both are from Herbert. Fleetwood, if you if you – if I could ask you to start with the first one? 
Fleetwood Grobler : Yes. Thanks. Thanks, Herbert. We have seen increases in rates. Remember, most of these rates are impacted from Asia to U.S. and Asia to Europe. But of course, we also take containers from here to Asia. We do export polypropylene into that route. And yes, there was an increase we were affected but I think we have absorbed that within our cost of sales and it is being managed through that channel. But hopefully, once things normalize, we would see it in a moderation of these container freight rates.  On our liquid folks, we have not seen that significant impact. So we don't believe it's a factor to our cost of sales. 
Paul Victor : Maybe, hurricane season is here. It's getting to kind of really impact us. So I think might we have to we have to pray of it, but So maybe if you are please answer the wind storm missed our assets, but if it doesn't, I do believe that from an insurance policy perspective, we all covered broadly. So let me just be clear about that. In terms of insurance policy, we do have the Atlantic Windstorm Coverage that will cover us for damages caused by winds such as that.  Albeit to have kind of a certain level and I think the level is round about between $100 million and $200 million. Obviously, that's on the damaged side. On the production interruption side, the North American assets are kind of on the same principles. You are exposed to any damage such as the South African assets, which means that for the first sixty days effectively you are self-insured. And then effectively, after sixty days insurance - assurance kicks in. And then ultimately, it covers you up to an assertive mechanism to $1 billion to $1.5 billion. So you can then have a really extensive outage beyond sixty days and it has a very broad coverage. We do ensure with triple A insurers. So we do believe that the counterparty party risk in the event – eventuality of those risk being out is quite sound, but hopefully that answers your question Herby. 
Tiffany Sydow: Questions have slowed down and I think there is one last question that is coming in and I think if there are no more questions after that, we can close the call. It's centered around remuneration. And it’s management, although I congratulate management on the much stronger than expected balance sheet, much of this has been achieved through deep cut in capital and an aggressive asset disposal program.  Both of these items were included in Sasol’s LTI program, achieving the respective sketch targets. Two questions on this. Should these have been included in the LTI targets? And if they are managed and throwback policy is made such that the other system be caught back from benefits, should it be determined that Sasol’s future performance has been compromised by the cuts in 2021 CapEx? This is from John Aaron at [Indiscernible] Capital. 
Fleetwood Grobler : John, thank you. Thank you for your question. I just like to put in perspective one or two corrections to your statements that you made. First of all, this year's short-term incentive had targets for cost savings and capital savings. Now it is not a long term LTI that referred to, it was on the short-term savings. I just want to take you back to last year when the company was thinking at two meters per second below water level and the crisis response plan we had to do certain measures to keep the company liquid and to get a sustainable business and savings going forward.  If you would recall in December last year, we have taken the markets through a comprehensive target assessment of Sasol 2.0 and why we said we can achieve that. So the aspects of CapEx on maintenance we have explained to great detail. It was based on a thorough benchmark of peer assessments Risk approach in terms of how we look at the maintenance programs from a risk basis, not that we have now as Sasol come up with that.  That was proper properly clear benchmark and it is taken into account what industry achieved in that sense. So, I do want to give you the assurance that when we look at the CapEx that we spend, at any year we have that similar CapEx on maintenance. If you look at last years, the previous year before that, It is more or less in line. It is also reflective of that. We didn't have a major shutdown in thin fuels.  We had the pit stop in the prior year. So I do believe that we have been going around with a very circumspect approach not to cut unnecessary or necessary spend rather for maintenance. And I believe that was all in that context that we've delivered this result going forward. So, I just want to leave you with that perspective and context. 
Tiffany Sydow: Thank you very much, Fleetwood. Thank you, Paul. We have no further questions that are coming in user platform. So with that being said, we will close this call.  Thank you very much for your time this afternoon. 
Fleetwood Grobler : Thank you so much, Tiffany and thank you for everyone that participated in this call. Until we see again, stay safe. Thank you.